Operator: Ladies and gentlemen, please stand by. Good morning, afternoon, and evening. My name is Jake, and I will be your conference operator today. At this time, I would like to welcome everyone to the I-80 Gold Corp. Third Quarter 2022 Financial and Operation Results Conference Call. [Operator Instructions]. Mr. Downie, you may begin your conference.
Ewan Downie: Hi, and thank you for everybody for attending today's conference. Today, we will be discussing our third quarter financials as well as provide some updates on what the company is doing. On Slide 2, the participants from management in this call are myself, Ewan Downie. We have Matt Gili, Matt Gollat, and Ryan Snow attending. Ryan will be presenting the financial portion of the presentation. On Slide 3 is our standard disclaimer statement, which also deals with forward-looking statements, and I urge everybody to read this when you read our presentation.  On Slide 4, our company is a U.S.-focused gold producer, developer, and explorer. We are one of the largest holders of gold and silver resources in the state of Nevada and we have several exploration programs ongoing within the company as we advance our plan to become one of the largest producers in the state. In terms of our extensive resources, our company has approximately 6.5 million measured and indicated gold ounces and more than 8 million ounces inferred -- with almost combined 180 million ounces of silver. I will pass over the next slide to Ryan Snow, our CFO, and he will take you through this quarter's financials.
Ryan Snow: Thanks, Ewan, and good morning to those listening today. Yesterday, the company reported our financial statements and MD&A for the third quarter of 2022, and they can be found on SEDAR, EDGAR, and the company's website. On Slide 5 of the presentation, you'll see a graph of our production and sales by quarter for the year. This production is from the residual leaching activities at both Ruby Hill and Lone Tree and as highlighted by a record third quarter where we produced 9,332 ounces of gold. Moving to Slide 6 of the presentation. You will see our total cash cost and all-in sustaining costs by quarter for the year. Our third quarter all-in sustaining cost was $1,138 per ounce and year-to-date is $1,204 per ounce. Additional highlights for the quarter include the ending cash balance at September 30 of $76 million in addition to $32.7 million in restricted cash.  We also continued to advance our exploration programs at Granite Creek and Ruby Hill with 27,551 feet of core drilling composed of 10,526 feet at Granite Creek, and 17,025 feet of core drilled at Ruby Hill. The company continued the engineering study on the autoclave refurbishment on plan and advanced the exploration ramp at Cove by 838 feet for a total advance of 1,938 feet year-to-date. On Slide 7 of the presentation, highlights our record revenue of $16.1 million, bringing year-to-date revenue to $25.3 million. This revenue generated mine operating income of $4.1 million for the quarter and $7 million year-to-date.  The company reported a loss for the quarter of $11.3 million or $0.05 per share. When adjusted for the impact of mark-to-market gains on the company's convertible debt, outstanding warrants, gold prepay and silver purchase and sale agreement, the loss was $15.5 million or $0.06 per share. The company is in a loss position of $15.3 million or $0.06 per share for the year and when adjusted for the items previously mentioned, was in an adjusted loss position for the year of $50.2 million or $0.21 per share. Finally, the company recorded $10.8 million in exploration, evaluation and predevelopment expenditures during the quarter, bringing the year-to-date investment to $32.2 million. On Slide 8, the company's production highlights for the quarter include the production and sale of 9,332 ounces of gold at a cash cost of $1,045 and an all-in sustaining cost of $1,138. Our average realized price per gold ounce sold in the quarter was $1,712. Year-to-date production highlights include 14,328 gold ounces produced and sold at a cash cost of $1,061 and an all-in sustaining cost of $1,204 per gold ounce sold.  On Slide 9, the company's liquidity position shows that we ended the quarter with $76 million in cash and had an inventory balance of $24.9 million. Current assets were $110.5 million, while accounts payable and accrued liabilities were $10 million. And total current liabilities were $48.8 million. This resulted in a current ratio for the company of 2.3:1. I also want to highlight that the company has $32.7 million in restricted cash and ended the quarter with total net assets of $396.7 million. With that, I'd like to turn the call back over to Ewan Downie.
Ewan Downie: Thank you. This year, we've had a highly successful exploration program, our highly successful exploration programs at multiple company projects. On Slide 10, you can see that our company is entirely focused in the United States. Every one of our projects is within Central Nevada, primarily within the Battle Mountain and Getchell Trends. When combined with the Carlin Trend, this part of Nevada represents one of, if not, the most productive bone district anywhere in the world.  Next to Nevada Gold Mines, which is the largest producer in the district, i-80 Gold is the largest holder of gold resources, and we are targeting to become one of the largest producers in the state over the next several years to the development of several of our projects. We're planning to construct 4 different operations that feed a central processing facility at Lone Tree, and I'd like to highlight that our projects are all permanent or in the process of being fully permitted for development. All are road accessible with grid power, and we have water rights. On Slide 11, one of the things that provides our company with a competitive advantage is the fact that we are 1 of only 3 companies in the states in the state that has a processing facility capable of processing refractory ore. That's really important when it comes to our long longevity in the state as many of the easier oxide open pit projects have been depleted and most of the core operations of Nevada Gold Mines and in our projects are transitioning or have transitioned to sulfide-ore. on Slide 12 this year has been very successful when it comes to the drill bit. As I mentioned earlier, we are second only to Nevada Gold Mines with gold resources contained within the Carlin-Battle Mountain trends, and we are #3 in the state, as shown in the graph here on Slide 12. However, we have 2 major drilling campaigns underway or completed, and we're targeting a 20% increase in gold resources by the end of the year. New resources for our company are expected to be released mostly within the first quarter of 2023.  The 30,000-meter underground surface drill program at Granite Creek has just completed and at Ruby Hill, we have again expanded our project -- our program because of the significant success we're having. We're also working currently to upgrade our Blackjack and Buffalo Mountain deposits to resource status. We're actually drilling at Buffalo Mountain as well and once we release our new resources; we do expect to increase significantly in terms of our gold endowment.  On Slide 13, I'd like to really highlight the fact that the deposits within our portfolio rank amongst the highest grade compared to other heap leach and underground projects within all of North America. All 3 of our underground projects have high grades, Granite Creek and Cove are in excess of 10 grams per ton and with our drilling, at Ruby Hill, we have consistently seen grades well in excess of the resource that was completed by the previous owner and we're expecting a pretty significant increase in grade in that resource when we update it and release it in early '23. On Slide 14, our company does have 2 processing facilities within our portfolio. Lone Tree, which is the autoclave facility close to Battle Mountain, is expected to be the hub of our operations fed by 4 deposits, 3 underground mines, and one small open pit at Buffalo Mountain once we complete all of the work there. We're targeting production of approximately 250,000 ounces a year by 2025, with further growth within our portfolio organically as we have multiple deposits in addition to the core operations we're developing.  We've also seen significant oxide mineralization at both Ruby Hill and Granite Creek in our drill programs. And as released earlier this week, we are seeing -- we have commissioned and are working towards potentially restarting the oxide plant at Ruby Hill as a place where we can process the oxide ore. The study also contemplates a conversion to base metals because we are expecting in the future to develop several base metal deposits within the Ruby Hill project, which would provide metals production-diversification for our company.  Slide 15 is just an introduction to the Granite Creek project. This is Nevada's newest high-grade gold mine. We are currently adding several areas of development to the existing decline, and we're driving it deeper with a target of accessing the South Pacific zone in 2023. That is a significant discovery that our company made on this project. As shown on Slide 16, Granite Creek is located immediately south of Nevada Gold Mines' Turquoise Ridge operation. Turquoise Ridge is one of the 4 major complexes within Nevada Gold Mines' portfolio and is host to tens of millions of ounces of gold.  We have an interim processing agreement that allows us to fast track the development with the priority on the Ogee zone. We have tracked material now to the Twin Creeks operation, and we've been stockpiling the oxide mineralization. The lower-grade development ore is in the process of being trucked to the Lone Tree site to be put on the heap leach facility there, and we're currently looking at our options for the high-grade oxide mineralization that we've developed so far on that site. The discovery of the South Pacific zone now has us really excited because of its potential to significantly increase our resources and high-grade resources immediately adjacent to the existing workings. On Slide 17, the South Pacific zone has been a real highlight for our company in 2022. We've realized substantial success in our drill program there and as you can see on Slide 17, the strike length of the South Pacific zone is multiples of what we see in the auto Adam Peak and Ogee areas. We've now demonstrated consistent mineralization over a strike length of more than 600 meters within the South Pacific zone, a dip length of approximately 250 meters and the mineralization is wide open for expansion, along strike to the north and at depth.  This is highlighted on Slide 18 of our presentation. The red that represents the South Pacific zone is a zone of mineralization where we've consistently seen grades in excess of 10 grams per ton over appreciable and expect to be good mining with. We also see very good ground conditions in the drill core, and we're expecting it to be a big part of the future of this operation. Because of the success in drilling this deposit, we have prioritized developing the decline. To date, we've spiraled down on 3 levels, and we're going down 2 additional levels this year before we start drifting over towards the South Pacific zone. And in 2023, we expect to have an underground drill program to move the South Pacific zone into our mine plan. I'd like to really highlight the fact that some of our deepest intercepts are some of our highest grade and widest intercepts in both the Ogee and the South Pacific zone and we look forward in the future to continue to expand mineralization net debt. On Slide 19, I'd like to introduce our Ruby Hill project. Ruby Hill has been a real highlight project for us this year. Not only because of the success we've had in drilling the gold deposits but recently, new discoveries we've made in polymetallics or base metals that we continue to drill today. As you can see here on Slide 19, there is substantial infrastructure at the Ruby Hill project and just on Monday of this week, we announced the results of a scoping study that was completed, looking at the restart of this facility as an oxide plant and subsequently looking to convert it to a base metal plant.  On Slide 20, the Ruby Hill property has significant upside. We believe we're defining a world-class gold and base metal project. It has existing and permitted infrastructure. The Hilltop discovery has been a real highlight for us and represents one of the highest-grade new base metal or polymetallic discoveries made anywhere in the world in 2023. We expect to be releasing additional results from that drilling as we only announced the discovery hole in both the upper and the lower Hilltop zones and we've been drilling -- we drilled many holes into those deposits since its discovery and the results are just coming in, and we're pretty excited by that and we've again expanded our exploration program to continue to define these zones. On the left images are the plans for future underground development here. We're in the process of permitting the plan for the twin declines from within the Archimedes pit, as shown in the pink image, and we expect to have the permits in place in the second half of 2023, assuming all goes well, and then we'll start accessing these deposits for development and underground drilling. Slide 21 shows the various deposits that exist on the property.  As I mentioned earlier, we have a 30,000-meter drill program that is underway. It's been focused on expanding the Ruby Deeps and 426 zones. We're currently finished drilling those 2 zones for this year and are completing updated models to provide updated resources for this property. The Ruby Deeps deposit remains open along strike, both to the north and south, and new discoveries that we've made include Hilltop, the 007, and BlueSky. BlueSky is expected to be the northern extension of the Ruby Deep deposit.  We also have the Blackjack deposit as shown on this image. It is located immediately under the pit. It isn't in our current resources, and we're currently working, and we'll be drilling a few additional holes this year to bring this project up to a 43-101 resource. As I mentioned earlier, one of the exciting parts of that project is the Hilltop discovery that is located to the southwest of the Blackjack deposit. On Slide 22, I just like to highlight that there are multiple zones that converge at the Ruby Deeps area and this is a long section view. The 426 is the upper part of the mineralization associated with the 426 Vault and the Ruby Deeps deposit is the deeper sulfide or refractory deposit. I'd like to highlight in terms of holes that we released to date, both the northern-most and southern-most holes remain amongst the highest grade and the widest intervals that we've drilled to date, and we've now completed the definition, so the infill drilling and some additional step-out drilling in the 2023 program. At Ruby Hill, we're currently drilling the 66th hole of the 2023 drill program, and we've to date only released 20 so there is expected to be significant news flow coming. On Slide 23, one of the things that I think has really been overlooked in the last several decades in this area is the fact that the Ruby Hill district is one of the highest-grade CRD districts that you'll find anywhere in the world. The Eureka District had a history of production from 1864 to 1966. So over 100 years of production with some of the highest grade CRD deposits you'll find anywhere in the globe. As you can see in the area that we're drilling, the Silver Lake TL and historic Ruby Hill mines had very significant gold grades when you look at comparable CRD districts anywhere in the world.  These deposits all outcrop so what you might call the old-timers discovered most of these 2 prospecting and developed mines. But since 1966, the CRD potential or the base metal potential district has been almost entirely overlooked. In fact, Barrick, our home stake and then Barrick with a few holes discovered the Blackjack deposit. They knew it was there immediately underneath the pit but other than a few drill holes they did not pursue that. In the Hilltop area, when they were defining the Archimedes pit, which is a Carlin-type deposit discovered in the 1990s by Homestake, they were drilling RC holes in the area of Hilltop looking for gold mineralization and the drill logs highlighted the fact that there was galena and sphalerites, so lead and zinc in the RC holes, but none of the holes in that area were acid for lead and zinc, just for gold. So, we are following up that area and our discovery hole in the upper zone, which is the 43rd hole of this year's program intersected 515 grams per ton silver or 15 ounces per ton, 28.9% lead, 10.5% zinc, and nearly a gram gold over 28.3 meters, and based on our interpretation, that's pretty close to 2 widths.  We have completed significant additional drilling, both RC and core in that area and the lower Hilltop, which is immediately to the northwest of the Upper Zone, and we continue to be to drill that area today. We've also done some drilling on strike from the Blackjack deposit and we are just waiting on the assays for that so there is expected to be significant mineralization. When you look at the Eureka District though, the smaller image on the right, all of the red dots are historic CRD or base metal deposits or current base level deposits. The undeveloped base metal deposits being advanced right now our Blackjack and Hilltop on our project and FAD by Paycore immediately to the south. The corridor between FAD and Blackjack is completely untested and we believe represents one of the largest exploration targets within our company. We have just completed geophysical surveys in that area and once we have permitted the additional drill sites, we expect to begin stepping out to the south.  Finally, on Slide 24, the Cove mine is in development. It's an advanced exploration project where we're constructing a decline to commence and complete an underground drill program in advance of a feasibility study. Cove is a project or a deposit that was delineated by i-80's predecessor, Premier, and is a project that is pretty dear to my heart because it's a project that we believe was previously misinterpreted. We developed one of the highest grade and most significant gold deposits recently found in Nevada, and it is now underground development so we did complete the permitting, and we're preparing to start underground drilling in the near future.  As you can see on Slide 25, the current program is planned to put in an exploration platform from which we expect to complete approximately 40,000 meters of underground drilling to upgrade the substantial inferred resources. Currently, we have over 1.3 million ounces in inferred on this project and in order to move this to feasibility, we have to complete a significant infill program, which once we get that platform in place will be undertaken. And at the end of that program, we expect to complete a feasibility study and in the interim work on the final permitting for mining development. The deposit remains open for expansion underneath the historic Cove pit and from underground, we do expect to do some limited underground expansion drilling.  Finally, to end our presentation, our company is committed to our sustainability in especially within the communities in which we work. We have a very substantial program at being, I'd say, a good corporate citizen within all the communities in which we work and ensure that we are very accepted. We've got a great health and safety record. We are very concerned about the water. All of the projects when we do water, we do put the water back into the basins in which we work to have as minimal impact as possible. So, with that, I'll move to our summary. Our company has an organic growth platform to and our expectation is to become Nevada's second largest gold producer. Nevada is one of the considered and in my opinion, the safest jurisdiction in which the offering. It has a very favorable environment for mining development. We're executing on our strategy to not only develop our reserves and resources, but to grow those through sustained exploration. And I will now open up the floor to questions.
Operator: [Operator Instructions]. We will hear first from Michael Fairbairn with Canaccord Genuity.
Michael Fairbairn: A few for me, really around some of the work that you have on the go at your various operations but I want to start just with Granite Creek and the ore that you've been mining there. Just wondering how much oxide ore you've been able to stockpile on surface so far as you advance that operation?
Matthew Gili: All right, Michael, on -- it's good to hear from you. So can I say how many tons of stockpile… but I want to do that. I want to be good, Michael, and I don't want to give out guidance unduly. Let's use a nominal amount of about 10,000 tons of stock of oxide that we stockpiled on surface. We've broken that into 3 stockpiles. The high-grade stockpile above 5 grams a mid-grade stockpile between 3 and 5 and a lower grade stockpile around 3 grams. Right now, Michael, as Ewan has alluded to, we have started to transport the mid- and low- grade stockpiles over to Lone Tree for a very dedicated leach, high-intensity leach on the subset of the pile there, and that work is progressing. What we're doing right now, Michael, is really analyzing what we're going to do with the high-grade oxide that we have accumulated at Granite Creek, which direction we want to move that and what's best both short term and long term.
Michael Fairbairn: Okay. Perfect. And a follow-up question there. I saw you came out with the study on a possible restart of the Ruby Hill oxide circuit earlier this week. Any indication on the quantum of material that you'd like to have to move ahead with the restart of the Ruby Hill oxide plant?
Matthew Gili: Michael, I mean we haven't got to that stage of the analysis yet. We've really come out with looking at our option for oxide and those plants nominally at 1,000 ton a day in his previous life. And that material right now, if you're looking at sources of oxide for that, it would be from the higher elevations of the Ruby Hill underground gold as well as what we're encountering on the Ogee side of Granite Creek, just be very careful to keep you up to date there. We are encountering some oxide mineralization on the Ogee side. We're not seeing that on the South Pacific that looks to be very, very much majority refractory mineralization.
Michael Fairbairn: Okay. Perfect. And staying with Granite just for one more. Are you able to share how much ore you've sent over to Nevada Gold Mines so far?
Matthew Gili: So, Michael, what I can tell you is we have not yet sent the entire 10,000 tons that constitutes the first dry run or test parcel for Nevada Gold Mines. So, we continue to ship over there. They continue to stockpile it for us on site, but we have not yet gotten the first 10,000 tons.
Ewan Downie: I'm putting about 20% of the mineralization we've developed so far has been refractory and 80% is oxide, which has been a bit of a surprise to us. I would say that the previous operator here Atna didn't keep great records in terms of asking for cyanide solubility, et cetera. So, our assumption was it was going to be primarily refractory, but to date, it's been primarily oxide. So, we are doing some dedicated metallurgy on that material so that we can have a longer-term solution to that processing. There are options such as putting in on our dedicated leach at Lone Tree, which is what we're doing currently with the development material that is oxide -- and we're also -- as you saw earlier this week, we are considering our own facilities as a longer-term solution, primarily earlier on the Ruby Hill plant.
Michael Fairbairn: Okay. Perfect. So, from Nevada Gold Mines, are you still expecting to hit that 10,000 tons this quarter and recognize initial production through the toll processing agreement with Nevada Gold Mines this quarter? Or could that be in 2023 now as you're still mining more -- or more sulfide ore?
Matthew Gili: Look, we're certainly targeting that, Michael, and we're certainly working towards that. We've got 2 sublevels we're mining right now on the Ogee side, and we've got -- we're about 15 meters from ore on the third sublevel. It's really that ratio of oxide to refractory. That's going to be what determines whether or not we finish out that first 10,000 ton parcel this year or we roll that over to next year.
Ewan Downie: Our drill program in the Ogee continues to suggest oxide only in the old zone really continues to considerable depth even our deepest drilling we've completed so far and that does have significant oxide. It is transitioning in our deeper drilling. There is both oxide and sulfide but in the upper levels, we're finding it to be primarily oxide mineralization. And because of that, we've prioritized the decline to depth; to date, we're approximately 60% of driving the decline to the depth we need to have it as to drift over to the South Pacific zone, and we're prioritizing that development so that we can start delivering hopefully reach by the end of next year towards our 1,000 tons a day processing arrangement that we have with Nevada Gold Mines.  And that's consistent with when we started this program, we stated that we did not expect to be at that 1,000 ton a day mark until at the earliest, late in 2023, as we're ensuring that we have substantial levels of development so that it provides additional flexibility for mining. And the South Pacific zone has become the priority for the project. So, we've actually, in the upper levels of the auto and Adam Peak have really slowed down any development in those areas to prioritize getting the decline to depth and drifting to the South Pacific zone.
Michael Fairbairn: Okay. Perfect. That's really good color. I want to switch gears here a little bit and just chat about your significant base metals discovery at Ruby Hill. Wondering if you would consider bringing in a partner to help you advance that, helps offset some of the capital costs that you might face there as you focus on the gold side of the business? Or is that still -- are we too early days to be thinking about that yet?
Ewan Downie: I'd say that's something we would definitely consider. The base metal opportunity is there that is really both from historic work and our drilling has really emerged as a real priority target. We've been approached by several parties about the base metal opportunity here. And we are sharing data, and we continue to drill that project with the view that, that could be an option for ourselves to move forward is a potential partnership on base metals or the project. So, we are keeping our options open and ensuring that we are in a position to advance multiple projects. But really, we've always viewed the base metal opportunity at Ruby Hill.  Even when we did the due diligence, it's one of the things that had me very intrigued about the project because the autoclave facility once running at full capacity can do about 1 million tons a year but it's very difficult to get more than that. Really grade is our only option to get more ounces. So, using the Ruby Hill facility has been something that we've been internally discussing for some time. And in the recent study that we released by DRA, we also asked them to look at what an estimate of what it would take to convert it to a base metal plant and because the base metals or using that plant could result in significant additional gold or gold equivalent production for our company.
Michael Fairbairn: Okay. Perfect. That makes a lot of sense. And one more at Ruby Hill in regards to the base metal. I think you mentioned that you were considering a drill program to test the area to the south of the Hilltop discovery. Have you decided on kind of the scale of what kind of a drill program would be appropriate to test that target?
Ewan Downie: Not yet. We've just completed the geophysical surveys, and we're compiling the final results of that. Combining that with historic surveys, like the Titan survey and magnetics gravity that was done and planning a program. We still believe we can do substantial step out drilling in both the upper and lower Hilltop zones from existing platforms. And we did do a couple of holes, including one about 500 meters south of Blackjack that we're waiting on assays.  We did see considerable mineralization in that hole, so we're waiting for assays. And from that platform that we drilled; we could do quite a bit of drilling along strike from Blackjack. So, we do have the opportunity to continue from our existing platforms, but we have to permit additional platforms to the South, and we expect that's probably going to be a 4- to 6-month process. The primary goal for the Blackjack is once we drive the decline into the 426 is a drift to the east and from that decline doing a detailed program on Blackjack from underground. I'd like to highlight that underground drilling on a per meter basis cost us about half of what surface drilling is. So, once we get the underground infrastructure like we have it granite and ultimately, what we expect to have at Ruby Hill, we will be moving to have a lot of our drilling, including step-out drilling done from underground to reduce our costs that we have in growing our resource base.
Michael Fairbairn: Okay. Perfect. That makes sense. So, I guess we'll stay tuned on more details to come there as you keep pushing everything ahead. That's it for me. I'll stop hogging the line here and turn it back over to you guys.
Operator: [Operator Instructions].
Ewan Downie: Thanks, Mike. There are some questions that we received online from Eleanor from Sprott and Matt Gili will go through her questions and provide answers to those questions.
Matthew Gili: All right. Elanor. I get your questions in front of me here. Your first question is curious on the status of going through the faults at Cove, how much farther did you get through? So, Elanor, the faults you saw there, the gold one fault that you saw at Cove. We successfully crossed through that last month and we're now on the other side, making the turn, getting ready to cut the first drill station for that infill drilling program that Ewan alluded to in his part of the presentation.  On your second question, what are the current active headings at Granite Creek? There're essentially 6 current active headings at Granite Creek. So, we have 2 sublevels that we cut across and we backfilled the first panel on those 2 sublevels. We have the third sublevel that we're cutting towards the ore. As I mentioned, we're about 15 to 20 meters from hitting the ore boundary on that sublevel, and we're progressing on the main decline itself. So those are the 4 headings on the Ogee and the main decline. We also run normally about 2 other headings in the remnant pillars. Those are secondary headings. They're kind of opportunistic headings. The real focus, as Ewan alluded to, is to drop that main decline, continue to develop sublevels on the Ogee side and then drift over to the South Pacific and do the same thing on that side.  Your third question is what's the latest on ground conditions. We are getting the ground conditions we expected. So, it's certainly not poor ground conditions than anticipated. In fact, the ground conditions on Granite Creek are really very solid. They're very much what we'd expect for mining in Nevada. We haven't had any appreciable ground falls and we're not having to pile through the development on the Ogee side. So latest on ground conditions are as expected. No changes in that regard.  Your fourth question, what are the expectations on residual leaching looking ahead? I'm not making guidance on the residual leaching, it's residual leaching. So, we would expect that to decline over time and that the Granite Creek production is what we're ramping up on and that will be our future for the short term.  The first question is with regards to how many meters have been driven on Granite Creek. I honestly don't have that exact number in front of me. I know that we're targeting about 30 feet of vertical decline per month. And we're averaging about 150 feet per week of development in general. Some of that sublevel -- so that's the main decline. Some of that is monkeys and pump stations. So that's the flavor or the color that I can give you with regards to the footage of at Granite Creek. Those are the questions, Eleanor. I hope that I answered them insightfully. Yes. We have one additional question come in from Mark Smith, that is where will the replay of this call be posted. The replay link in the phone number will be available on our website later today and will be available until November 16.
Operator: Ladies and gentlemen, this does conclude your conference for today. We do thank you for your participation.